Operator: Greetings, and welcome to the Mine Technology Third Quarter Fiscal 2025 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Zach Fob. Thank you. You may begin.
Zach Fob: Thank you, Operator. Good morning. Welcome to the MINE Technology Fiscal 2025 Third Quarter Earnings Conference Call. We appreciate all of you joining us today. With me are Rob Capps, President and Chief Executive Officer, and Mark Cox, Vice President and Chief Financial Officer. Before I turn the call over to Rob, I have a few items to cover. If you would like to listen to a replay of today's call, it will be available for ninety days via webcast by going to the Investor Relations section of the company's website at mind-technology.com or via a recorded instant replay until December 18th. Information on how to access this replay was provided in yesterday's earnings release. Information reported on this call speaks only as of today, Wednesday, December 11th, 2024, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay listening or transcript reading. Before we begin, let me remind you that certain statements made by management during this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and include known and unknown risks, uncertainties, and other factors, many of which the company is unable to predict or control, that may cause the company's actual future results or performance to materially differ from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by the company from time to time in its filings with the SEC, including in its annual report on Form 10-K for the year ended January 31st, 2024. Furthermore, as we start this call, please also refer to the statement regarding forward-looking statements incorporated in our press release issued yesterday. Please note that the contents of our conference call this morning are covered by these statements. Now, I would like to turn the call over to Rob Capps.
Rob Capps: Hey. Thanks, Zach, and I would like to thank everyone for joining us today. So today, I will discuss some highlights from the quarter. Mark will then provide a more detailed update on our financials. I will return to wrap things up with some remarks about our outlook. As expected, MINE delivered strong third-quarter results. Our business continues to operate efficiently, and our emphasis on cost management and execution is yielding returns. Our cash flow from operations again grew during the quarter, which helped improve liquidity. We are also pleased to have generated our fourth consecutive quarter of profitable results. These results are great indicators of the transformations we have made. We are building good momentum that is visible in our backlog and pipeline of orders, which I will elaborate on in a moment. Our approved capital structure and encouraging business environment provide MINE with important opportunities that we look to take advantage of in the coming quarters. We believe MINE is strategically positioned for growth, improved financial results, and continued profitability in coming periods. As I touched on last quarter, the conversion of all preferred stock into common stock was a significant development. On the conversion, we issued approximately 6.6 million shares of common stock and now have just under 8 million shares outstanding. All outstanding preferred stock, along with the associated accrued and undeclared dividends, have been retired. The impact of this conversion can be seen in our third-quarter financials. Mark will touch on the accounting for this transaction in just a moment. We entered the fourth quarter with a strong backlog of approximately $26 million. Although the backlog is essentially flat, we made substantial order deliveries during the third quarter that contributed to our improved revenues. We were able to offset this activity with new orders. As I previously mentioned, order flow is often sporadic, and we do not announce each and every order we receive. However, the general trend is one of elevated order flow and activity, and our backlog is much higher than historical standards. Beyond that, we have an active pipeline of pending and highly confident orders and prospects that are well in excess of our backlog of received orders. We currently estimate this pipeline to be more than double our backlog of firm orders. This robust backlog and pipeline of opportunities give us confidence for improved financial results in the coming periods. Three meaningful contributors to our strong backlog are Yelling Source Controllers, VULUELINK positioning systems, and sealing streamer systems. PMF enjoys a strong market position with these products, even a dominant position in some cases. We currently have a number of pending orders across each product line, and I am confident that the favorable market dynamics and our focus will prove to be a recipe for success in generating many more orders in the future. As we continue to grow our installed base of products, we also increase our opportunity for aftermarket business, such as spare parts, repairs, and support. In the third quarter of this year, approximately 40% of our revenue came from this aftermarket activity. As I have done in the past, I must remind you that the timing of specific orders is subject to variability due to any number of challenges and unforeseen circumstances, just customer delivery requirements. The visibility that our backlog and pipeline give us has allowed us to better manage supply chain issues. For the past year or so, we have been aggressive in acquiring key components or those with long lead times. While this has contributed to an increase in inventories, it has allowed us to meet the delivery requirements of our customers and increase revenue. We have recently been able to draw down our inventory balances to some degree and expect this trend to continue into the fourth quarter. Turning to our results, we again were able to grow our revenue both sequentially and year-over-year. Marine technology products revenues for the third quarter of fiscal 2025 were $12.1 million. We continue to capitalize on macro tailwinds and customer engagement to stimulate workflow and generate improved results. We are also continually working to improve our execution, efficiency, and cost structure, which we expect to contribute to sustained profitability in future quarters. General market conditions within the marine technology space continue to be strong. I see a number of opportunities. We have continued to field inquiries and respond to requests for accreditation. Our team continues to develop new and innovative ways to adapt and implement our technologies to meet the evolving needs of our customers. Recent sales and inquiries related to our C Link streamer systems were a good example of how we are making additional investments to further develop and advance the next generation of our ultra-high-resolution ceiling streamer system. I am confident our differentiated approach and best-in-class suite of products will continue to give us the competitive advantage to address the growing demand we are seeing within the marine technology industry. We continue to see traction for our spectral AI software suite. While our revenue from this has been de minimis thus far, customer feedback has been very positive. There are a number of prospective customers that are in pursuit. We are also exploring ways in which we can work quickly to address an expanded market for this technology. Now, let me let Mark walk you through our third-quarter financials in a bit more detail, then I will come back.
Mark Cox: Thanks, Rob, and good morning, everyone. As usual, I would like to remind you that with the sale of Klein, those operations have been treated as discontinued operations. Results for periods prior to the sale in August 2023 have been restated to reflect that. Accordingly, the prior period comparative data reported yesterday and discussed here today do not include amounts related to Klein. They include only our ongoing business. Rob mentioned earlier revenues from marine technology product sales totaled approximately $12.1 million in the quarter, which was up about 143% from the same period a year ago and 21% sequentially from our fiscal 2025 second quarter. The strength we are seeing in all our key markets and the favorable customer demand environment continues to support our backlog and significant pipeline of highly competent orders, positioning us well for sustained high-level revenue in the coming quarters. Third-quarter gross profit was approximately $5.4 million, which was about 141% higher when compared to the third quarter of last year, up 13% sequentially. Gross profit margin was 45% for the quarter, which was essentially flat with the year ago and down sequentially. We implemented various price increases earlier this year, and we are benefiting from greater production efficiencies throughout the business that are both meaningfully contributing to overhead absorption and improved margin. Our general and administrative expenses were approximately $2.8 million for the third quarter of fiscal 2025, which was flat sequentially but down compared to a year ago. As we highlighted last quarter, these reductions in general and administrative expenses stem mainly from our ability to streamline overhead costs following the sale of Klein, most notably corporate expenses related to the support of Klein. Our research and development expense for the fiscal 2025 third quarter was $562,000. Costs are largely directed toward the development of our next-generation streamer. Operating income for the third quarter was compared to an operating loss of approximately $1.5 million in the third quarter of fiscal 2024. Third-quarter adjusted EBITDA was approximately $2 million compared to an adjusted EBITDA loss of approximately $1.1 million in the third quarter a year ago. Net income for the third quarter was approximately $1.3 million, which was an improvement of approximately $3 million from the net loss of approximately $1.7 million in the third quarter of fiscal 2024. As Rob mentioned, we are pleased to have achieved another quarter of profitability, our fourth in a row, and we expect to continue building on this momentum in future periods. As of October 31st, 2024, we had working capital of approximately $21.2 million, including $3.5 million cash on hand. We continue to be impacted by our operational requirements, such as acquiring inventory and executing on our backlog orders. However, we did generate $1.6 million of cash flow from operations in the third quarter. This represented a sequential increase of 84% compared to the second quarter. Our balance sheet remains strong, we are debt-free, and the company maintains a clean capital structure following the preferred stock conversion in September. We now have solid footing and flexibility from which to enhance stockholder value in future periods. As we mentioned last quarter, our third-quarter results reflect the conversion of the preferred stock into approximately 6.6 million new shares of common stock. We recorded this issuance at the market value of the common stock, less associated transaction costs such as legal fees and solicitation costs. The carrying value of the preferred stock has been eliminated. The excess of the carrying value of the preferred stock over the recorded value of the new common stock, which was approximately $15 million, has been credited directly to retained earnings. This amount is also included in the calculation of earnings per share attributable to common stockholders but is not included in net income. I will now pass it back over to Rob for some concluding comments.
Rob Capps: Okay. Thanks, Mark. We are pleased that MINE continues to benefit from significant customer interest and engagement related to our CNET product lines. A robust pipeline of orders and improved visibility give us confidence for sustained higher-level revenue. We have streamlined our operations and focused our efforts in recent years. This strategy is yielding positive results. We now have a very clean capital structure after the conversion of preferred stock to common stock. Combined with our lean operating structure, this provides a great deal of flexibility from which to pursue opportunities. However, we also remain dedicated to managing costs to improve margins and enhance our bottom line. Now that we are so much better positioned as a company, and the macro environment is advantageous for MINE, I am excited for us to actively chase new initiatives and opportunities. We have developed valuable partnerships and customer relationships that have enabled us to build up a strong backlog and to continue to drive new orders. Our marine technology products continue to penetrate a variety of industries and markets. We believe our backlog of firm orders and pipeline of pending orders and other prospects are reflective of the significant demand and market adoption of our product lines. We are pleased with our results for the third quarter, and we believe MINE is poised to capitalize on additional opportunities and deliver improved results in coming quarters. As a result, we expect to deliver positive adjusted EBITDA and profitability as we conclude fiscal 2025 and look ahead to next year. We remain encouraged by the current demand environment and customer engagement we are experiencing. We expect our results for the fourth quarter to again be improved when compared to the third quarter. Additionally, our current visibility, healthy customer engagement, strong backlog, and significant pipeline also give us optimism for fiscal 2026. We have a differentiated and market-leading suite of products, a favorable market environment, and supportive tailwinds. The business is also benefiting from an improved balance sheet and capital structure, which will be instrumental as we strive for growth. We look forward to wrapping up this year on a high note and remain focused on generating improved stockholder value in future periods. With that, Operator, we will now open the call up for some questions.
Operator: Thank you. We will now be conducting a question and answer session. Before pressing the star key, our first question comes from the line of Tyson Bauer with KC Capital. Please proceed with your question.
Tyson Bauer: Good morning, gentlemen, an excellent quarter.
Rob Capps: Hey, Tyson.
Tyson Bauer: Thanks. It seems like we have now entered into the phase of more of the blocking and tackling quarters. With a lot of the financial noise behind us, which is obviously a relief to all, and we are now starting to build that cash buffer for the company. It appears like you should be over the end of the year, your fiscal year, at about $5 million in cash unless you have some net working capital gains or other uses that could embellish that number going forward. With that type of capitalization now in place and building that cash buffer for you, what options does that open up for you where we were going from survival to now, what at more of a growth phase for the company?
Rob Capps: Yes. So I think it gives us options. And before, we did not have a lot of options, you know, look back a year ago. So it gives us the ability to look at different things, you know, how can we expand the product offering. How can we take our technology into different markets? So it just gives us that flexibility. Also, it gives us the working capital to maybe pursue some other projects that perhaps we just could not before because of the capital requirements of it. So it just gives us options. You know? I do not see us going out and making a big acquisition, and that is not what we are about. But what we want to do is to, you know, add things that are tangent to what we are doing now and start to slowly build our portfolio and build our revenue base.
Tyson Bauer: I do not, speaking for myself, I am not sure if the street or shareholders necessarily want you to go out and do a large acquisition at this point in time. We just caught our breath.
Rob Capps: I understand. I could not agree more.
Tyson Bauer: Yeah. Exactly. Give us a sense. I think one thing that is missing from prospective shareholders and institutions that we talk with is just the scope of your global installed base when we are talking about seismic fleets and other service providers in the marine side. That parts, that services business really is a growing annuity force for your future financials. Give us a sense of that global and...
Rob Capps: Well, you are exactly right. I mean, we have equipment installed with every seismic contractor in the world, plus many survey companies in the world. You know, this stuff is used in very harsh environments. Just the nature of the beast. So there is a great deal of opportunity for us to provide spare parts, repairs, field service, and training for this increasing installed base. And, you know, that does not go away. Those guys are out there, and they always have to replace things. So it is a good relatively steady flow of business, which I think is going to continue to grow. Yeah. We do that business, you know, here in the US, in our Huntsville facility. We do it in our Malaysia Facility. Nearby Singapore, we send field service people, you know, out all over the world to do things on the vessels. So we literally are anywhere in the world you can be. Obviously, you cannot go to Iran and North Korea and Russia. But, you know, everywhere else, you know, we are providing those services.
Tyson Bauer: And because a couple of years ago, the bigger competitor dropped out of the industry, this really is your ball field here.
Rob Capps: In some cases, certainly with source controllers, we are the only game in town. Now that is a niche within a niche for sure, but, you know, we are the guys. There is some competition in other areas for positioning systems and for streamer systems. But, again, in the areas in which we are playing, the applications that we are focused on, we think we have a leading position, I should say, and frankly have a technological edge over any competition. So we think we are very well positioned on that.
Tyson Bauer: Okay. That is a growing area for us. In the last quarter, you brought up the concept of leverage versus pricing. Helping out margins. We saw that leverage on your operating expenses. That additional top line and holding the operating expenses there, the gross margin a little light, but you have product mix. You have other things that go into there. Is that something that we should see a greater influence on that pricing side as your new orders that pipeline is fairly robust? And with the addition of the leverage on the operating side, we will see bigger improvements in that EBIT margin?
Rob Capps: Yeah. So I think just to give some color on that, I think the operational leverage, you know, we have seen a lot of that but maybe to a lesser degree. I think we do have some pricing leverage here. You know, a lot of the revenue we delivered this past year was actually quoted the prior year. So almost two years, you know, old pricing. So I think we see some opportunities to, you know, improve that, maybe be a little more aggressive on our discount structures, and therefore bring some more to the bottom line.
Tyson Bauer: Okay. And the question you hear in a lot of these calls with the new administration coming in, pros and cons, obviously, possible tariffs on one side, deregulation on the other side, which can improve Gulf activity, comments from PEMEX. Which we have heard various times throughout the, you know, the past decade plus that do not necessarily materialize. But just your sense within the industry, of their outlook in general and how that improves your outlook.
Rob Capps: Yeah. So I think it is certainly not a negative. It is a positive if anything. I think the direct impact, as you mentioned, is probably going to be more, you know, permitting issues in the Gulf of Mexico. And so, yeah, that has a positive impact, but, you know, again, our customers work all over the world. So, you know, what this administration does does not impact, you know, West Africa or off the coast of Brazil. That is a positive, I think. So I think it is a positive, but not a huge impact. I do not think you will see a direct impact from us. I think, you know, the other issues you heard about, the tariffs and whatnot, you know, I do not see that as an impact for us. Again, remember, we are manufacturing and shipping out of Singapore. So we are delivering now to Singapore. So I really do not see an impact that might come from anything of that nature.
Tyson Bauer: Okay. This is the time of year that a lot of your customers are making CapEx decisions for the next calendar year and beyond. Would you anticipate more new order flow as we get beyond the first of the year? And really early next year, a little pickup in that activity.
Rob Capps: Yeah. I mean, it is kind of lumpy as you know when there are a number of prospects that we are in the middle of right now, which, you know, could come to fruition tomorrow or it could be, you know, another month or another two months. It just kind of depends. When they pull the trigger. And part of it is predicated upon what they see their demand is. And do they want a particular project, therefore, that need that they have has a specific time frame. So that is really what drives a lot of this. But I am confident we will see additional activity. If not, later this year, certainly into early next year.
Tyson Bauer: Okay. And last question for me. You talked about the new generation Streamer becoming available. Would that be a prelude to more full system sales once that gets available to the industry and your customer base, and would you expect favorable pricing and margins on that new product coming out?
Rob Capps: Yes. I mean, I think that is not the next, you know, two or three months sort of thing. It is, you know, farther down the road a bit. But I think it will allow us to, you know, again, address the competition a little more effectively. And, also, I think it will allow us to perhaps address an expanded market as well. Perhaps there are some installations or applications that we are not best suited for today but maybe would be with our technology. So I think that will expand our addressable market. Probably not a big impact on 2026, but going forward from there, I think, is where you will see the benefit.
Tyson Bauer: Sounds wonderful. Thank you, gentlemen.
Operator: Thank you. Our next question comes from the line of Ross Taylor with ARS Investment Partners. Please proceed with your question.
Ross Taylor: Okay. First, it is always exhausting to follow Tyson because you are having to spend so much time crossing off your questions. First, congratulations on everything you guys have accomplished this year, especially the operational performance, which is really impressive. I have not seen a queue yet, so is it possible that you give us what the GAAP earnings would be this year, year to date? Obviously, your early GAAP earnings were impacted by a number of other factors. These are impacted by some factors, but trying to get a run rate earnings per share number for you sitting at this year.
Rob Capps: So year to date, nine months, income from or net income rather is $3 million, $3 million forty-three thousand.
Ross Taylor: Okay. Thank you very much. That is before all of our dividend activity.
Rob Capps: Yep.
Ross Taylor: Yeah. That is what I was looking for. Thank you very much. You said about 40% of revenues, when Tyson talked about the aftermarket aspect of your business. Is that 40% a number that one should see kind of on an annual basis? I understand because of the fact that it is kind of use-driven. You might have some seasonality or some quarters that are higher or lower, but is that a reasonably good number overall, or should we expect to see that be somewhat lower or grow higher as you get more product in the...
Rob Capps: Yeah. That is a great question. Because you look historically, it has been around that level in the periods we have looked at. That is something we used to track until, you know, the last, you know, year or so. There are two factors that drive that percentage. It is just the math. So you got bigger system sales, it is going to drive that percentage down, obviously. Where you have higher, you know, absolute sales of that activity, it is going to draw it higher. So it is really a function of the two. I would expect the absolute amount to continue to increase. It just makes sense. You got more stuff installed. You got more customers out there, there is more stuff to keep maintained.
Ross Taylor: No. And you do not have to resell that either. That is the other thing.
Rob Capps: Right. It happens by itself.
Ross Taylor: And it tends to have a bit better margins as well, as you might imagine.
Ross Taylor: Yes. And I would assume that it does not matter how new or old a piece of equipment is. It is really how it is being utilized and used which is what drives the need for it. So that even a new piece of equipment can result in aftermarket sales reasonably quickly if it turns out that she is not using the application button. As a matter of fact, most large system deliveries include a spares component. So people buy spares upfront because they know it is going to happen.
Rob Capps: Remember, this stuff is getting dragged through the ocean.
Ross Taylor: Yeah. I can see a lot of things can go wrong with that. Yeah. What are the needs you talked about? One is what areas are driving your sales growth in here? I mean, we look at you guys and that we have seen you have the energy market, you have the defense market, you have the subsea mining market. You have the mapping market. You have other markets, you know, looking for Malaysian airliners probably. Things that I hate to what what is it that is actually are you seeing, or are you seeing, you know, new areas of interest out there?
Rob Capps: So the big driver is obviously still, you know, energy exploration has been on a rebound. So that certainly is a positive for us. But also, marine survey activity is a big driver for us recently. You know, doing ocean bottom surveys for carbon capture installations, for wind farm installations, or all sorts of other stuff. So those are the things that have been driving things most recently. I think the other there are opportunities in other areas, but those two things have been the big driver so far.
Ross Taylor: And I would think that when the UN has a program, it wants to map all the world's ocean bottoms. So I would assume that as that goes forward, that is a market opportunity or a continuing source of demand. But also the growth of drone submarines and the like. It strikes me as there is a lot of need for subsea mapping along with that type of effort where you if you are going to program something to go somewhere, you better know that there is not some large rock in the way. Is that an area where you are seeing growing interest?
Rob Capps: So not directly for us. I mean, what we are doing is providing survey for the subsurface of the ocean bottom. Some depth. So things are actually on the surface itself. That is really other technology. That is really about the Klein technology that we sold that really addresses that sort of need.
Ross Taylor: Okay.
Rob Capps: But having said that, you know, as we see more installations and more things, you know, going to the ocean bottom, that is going to continue to drive our demand from our survey customers. And, also, we still see opportunities to take that technology into other areas such as domain security, things of that nature, which, you know, we have talked about a lot. And, frankly, that is an area that we have put on the back burner in the last year and a half. Try to focus on, you know, current revenue opportunities, but I think that is something we can readdress. There certainly are some opportunities there for us going forward.
Ross Taylor: Okay. That would be great. Also, you talked about the new products. What kind of CapEx or R&D funding needs do you see having for those?
Rob Capps: I think if you look at what we have been doing this past year, I do not see a big change from that. There are some ups and downs from quarter to quarter just based on prototype deliveries and things like that. But in general, it is going to be that level of spending.
Ross Taylor: Okay. And is the cash conversion ratio, which was a little over 13% this year, something we should expect pushing forward?
Rob Capps: Well, Ross, that is a really tough one to nail down. I expect it to improve a bit in the near term. That really depends on, you know, how orders come in and what we have to do about replenishing inventory is really going to drive that a lot. So I am hesitant to be too precise here, but I would expect to see some improvement at least in the near term.
Ross Taylor: Perfect. Fantastic. And lastly, I would agree with Tyson's comment that I think at this stage, given all the success and opportunity, I am not sure I want to see you guys do a big acquisition just yet. I am not saying you cannot manage it, but I am saying let us get to understand what net powerful profitability matrix here is, and then we can push forward.
Rob Capps: Ross, you are preaching to the choir.
Ross Taylor: I often do. Ask my dogs. Okay. Okay. Alright. Thanks, Ross. As I said, you guys are doing a great job. I think this has really turned things around business-wise. It is, you know, to me, quite honestly, when I look at what you talked about, your earnings, you know, you have $3 million in earnings for the year, that basically gives you a run rate that is, you know, probably north of Tyson's or around or north of Tyson's estimate, which quite honestly, even if, you know, the current prices start makes it ridiculously cheap and, you know, the market will recognize it, but, you know, you guys have done a lot to get there. I want to thank you for your efforts.
Rob Capps: I appreciate that, Ross.
Ross Taylor: You take care. Have a great holiday, by the way.
Rob Capps: Yep. You too.
Operator: Thank you. Ladies and gentlemen, our next question comes from the line of Igor Nooyodzep with Larus Capital. Please proceed with your question.
Igor Nooyodzep: Hello, everybody, and thank you for taking my question. I am a little bit new to the stock. So I started out as a preferred shareholder and ended up actually not in your thesis. Now after this, we will add a lot of things anymore. So I have a couple of questions. First of all, you specifically mentioned having pending and pipeline orders. More than twice that much. See it back to maybe you can tell me, is it an unusual situation or it is somewhat unusual? In other words, maybe I can compare and contrast, you know, what is the theory of the previous experience. Is it normal that you have pipeline and pending orders such as such a big magnitude exceeding your backlog? Or that is just something which is first page of it.
Rob Capps: It is not that unusual at all. That just varies from period to period, obviously, based on specific orders, but I think that is not at all unusual. You look back historically. We have always tracked a number of orders. We sort of have been pretty conservative about what we report. We are only reporting firm orders. I wanted to get a sense of, you know, again, the total opportunities that we see out there. But I think that is pretty common for us.
Igor Nooyodzep: Okay. My other question. One of the justifications for the preferred conversions was mentioned is to for you to become a more attractive acquisition target. Space. You do not have the 24 overhand anymore. Any thoughts? I know a couple of calls before me mentioned there. Potential of you to be in that position. Let us take it from the other end. Any thoughts of doing private considering how cheap you are? And a lot of companies employ private now, I guess, want to put perhaps a special committee to explore strategic options on anything in this thought now that your capital structure is so much better.
Rob Capps: Well, obviously, going private is a difficult thing, especially with a shareholder structure such as ours. It is very difficult to do. You know, we want to drive shareholder value just like you do and everyone else does. So, you know, if there are opportunities for us to combine with someone else, in some manner, you know, we are certainly open to looking at those sorts of things. But, you know, we are going to concentrate on growing the business at the same time. Because you cannot force those things to happen. They happen when they happen. You just have to run the business, and that is what we are trying to do now.
Igor Nooyodzep: Okay. Fair enough. My other question, obviously, in a more technical business, but there is also a gross car plan. So maybe you can break it up a little bit of where they are in the cycle. So there seems to be enough swing to the cycle of your products. Versus which part do you think is going to you can grow permanently? Which support is going to remain cyclical and we move basically change of market conditions.
Rob Capps: Yeah. That is an interesting question. I think, you know, the streamer business, the ceiling business probably has the most upside near term just because that has been a smaller part for us. But having said that, I think we continue to see opportunities for our source controller business for Gunlink. Even though we have a dominant market position there, you know, we see opportunity to deliver improved technology. So, you know, replace existing installations, things of that nature. So I think I see opportunity across all areas.
Igor Nooyodzep: Okay. Thank you very much.
Operator: Thank you. This concludes our question and answer session. I will turn the floor back to management for closing comments.
Rob Capps: I would like to thank everyone for joining us today. We look forward to talking to you when we report our fourth quarter and year-end earnings early in the New Year.
Mark Cox: Thanks very much.